Nick Hampton: [Presentation] Good morning. And thank you for joining us for the presentation of Tate & Lyle's results for the 6 months to the 30th of September 2024. I would like to start by offering Sarah a warm welcome to Tate & Lyle. I'm delighted she chose to join us. And she takes on the role of CFO at an exciting time. In her first few weeks, Sarah is already making a significant contribution to the business. Sarah, welcome. And maybe you'd like to say a few words before we get to the presentation.
Sarah Kuijlaars: Thank you, Nick. And good morning, everyone. My first 8 weeks with Tate & Lyle have been excellent, and I'm delighted to be here. I've had an incredibly warm welcome from everyone. And I've been really impressed by the talent, passion and overriding commitment to our purpose of transforming lives through the science of food, of all the people I've met. I appreciate the last few months have been a very busy period. And with the completion of the CP Kelco combination approaching, it's clearly a great time to join Tate & Lyle. With my previous experience of integrating businesses, I have been very encouraged by the comprehensive and customer-focused approach of our CP Kelco integration plan. Importantly, the business is in a good financial position with a strong balance sheet; and as the incoming CFO, this gives me real confidence. I will come back to talk about the financial results later, but for now over to you, Nick.
Nick Hampton: Thank you, Sarah. Before I get to the details of the presentation, I want to briefly reflect on what's been a momentous 6 months for Tate & Lyle. During this period, we completed the repositioning of the company as a fully focused specialty food and beverage solutions business and then took a major step to accelerate our growth-focused strategy with the announcement of the combination with CP Kelco. At the same time, our financial performance has remained strong, so overall huge progress and a very pleasing first half of the year. The agenda for today's presentation is on the screen. I will begin with an overview of the first half. Sarah will run through the financial results and the outlook. And then I will cover our strategic progress and the combination with CP Kelco. Finally, Sarah and I will be happy to take your questions. I will start with 3 key headlines from the first half. Firstly, we delivered strong financial performance with strong volume and profit growth and excellent cash delivery. Secondly, we undertook a significant acceleration of our growth-focused strategy with the sale of Primient and the announcement of the combination with CP Kelco. And thirdly, our absolute focus on serving our customers continued to pay dividends, as we saw an increase in both New Product revenue and solution selling. Let me expand on each of these areas, starting with the financial highlights. As anticipated, we saw a return to volume growth, with group volume up 6%. Also as expected, revenue was lower, declining by 7% mainly due to the pass-through of input cost deflation. EBITDA was up 6%. And cash generation was excellent, with free cash flow GBP 48 million higher. Building on our track record of driving productivity improvements over recent years, we delivered a further $27 million of savings in the half. As I said earlier, over the last 6 months, we've undertaken a transformational reshaping of the business. The sale of our former U.S.-based commodity business Primient was completed in June. And we then took steps to significantly accelerate our growth-focused specialty strategy with the CP Kelco combination. We have recently received regulatory clearance from all the relevant jurisdictions; and are now in the final stages of completion, which will happen in the next few days. Science and solution selling are at the heart of our growth strategy and how we support our customers, so it was encouraging to see that New Product revenue on a like-for-like basis was 10% higher. And solutions new business wins over the period increased to 22%. I recently returned from a trip to Asia, where I was delighted to see a number of our customers' products on the shelves, containing solutions which have been in the pipeline during my visit last year. Seeing our solutions translate into commercial launches is really encouraging and a validation of our solutions approach and our strengthening customer relationships. Having a positive impact on society is also very important to us, particularly by supporting healthy living through the use of our ingredients and expertise to improve the diets of people across the world. I am delighted that, at the end of September and 6 months ahead of schedule, we met our 5-year target to remove 9 million tonnes of sugar from people's diets using our no- and low-calorie sweeteners and fibers. That's the equivalent of 36 trillion calories. So plenty to be positive about in the first half with strong financial performance and significant strategic progress. I will now hand over to Sarah to talk through the financial results and the outlook. So over to you, Sarah.
Sarah Kuijlaars: Thank you, Nick. I will now give you some more details about our financial performance. I will focus on adjusted measures, while items with percentage growth will be in constant currency unless I say otherwise. The group delivered strong financial performance in the first half. As anticipated, we saw positive volume momentum and profit growth, delivering EBITDA of GBP 188 million. Financial and cost discipline are very important, and I'm pleased to report that we continued to deliver good productivity savings and maintained a sharp focus on cost reduction. Cash generation was strong with free cash flow of GBP 127 million and a cash conversion of 94%. We continued to progress our share buyback program of GBP 215 million, with GBP 93 million of shares bought back in this half, representing about 43% of the overall program. We also continued to invest in long-term growth, in areas such as innovation and solutions. And Nick will talk more about this later. We'll now look at the financial highlights. Group revenue was GBP 775 million, 7% lower mainly due to the expected pass-through of input cost deflation. We delivered EBITDA growth of 6%, with EBITDA margin 290 basis points higher at 24.3%. EBITDA growth and lower finance charges drove profit before tax to GBP 156 million, an increase of 11%. Earnings per share grew by 13%, benefiting from stronger earnings and fewer shares in issue due to the share buyback program. Finally, return on capital employed improved by 150 basis points to 18.5%. And free cash flow was GBP 48 million higher, so overall a strong set of results. Moving now on to the performance of Food & Beverage Solutions and Sucralose. Food & Beverage Solutions delivered revenue of GBP 631 million and EBITDA of GBP 157 million. Volume grew 4%, benefiting from both our growth-focused approach to contract renewal for the 2024 calendar year and the end to customer destocking. Revenue was 8% lower, driven by the expected pass-through of input cost deflation. Volume growth offset modest adverse price/mix, as we invested selectively in pricing to build stronger partnerships with targeted customers. Looking at the performance of our 3 regions. In North America, revenue declined by 6%. We saw good volume gains in dairy and bakery, while demand in the beverage category remained soft. In Asia, Middle East, Africa and Latin America, revenue was up 1%, underpinned by strong volume growth in all regions. In Asia, China delivered low double-digit volume growth, with good growth in the beverage category. Middle East and Africa and Latin America both saw double-digit volume growth. In Latin America, volume growth was led by strong performance in both Brazil and Mexico, where pressure from lower-priced imports from outside the region receded. In Europe, revenue declined by 23%, reflecting the pass-through of significant input cost deflation. Volume was broadly in line, with stronger demand for beverage and soups, sauces and dressings mitigated by softer demand in infant nutrition. EBITDA grew by 3%, benefiting from higher volume, productivity savings and cost discipline. Margins continued to expand. Since September 2022, EBITDA margins have improved by 390 basis points to 24.9%. This is driven by our focus on mix management and solution selling, in addition to our successful navigation of the recent cycle of inflation and deflation. Now let's focus on Sucralose. This is a cash-generative business and is being managed to deliver attractive returns. Volume was 20% higher, benefiting from some customer orders brought forward into the first half. In addition, we delivered modest production optimization at our facility in Alabama. Revenue climbed 17% despite customer mix leading to a modest decline in average pricing. With strong control of input costs, this led to EBITDA increasing by 23% to GBP 33 million. So how does productivity fit into this? We delivered $27 million of productivity savings in the half, with $17 million from operational and supply chain efficiencies; and the remainder from other cost savings, including SG&A. Operational efficiencies come from across the business, with particularly strong savings from yield improvement projects. For example, in the U.S., at our Sagamore facility in Indiana, process improvements increased co-product yields, leading to $1.4 million of annual savings. In our sucralose facility in Alabama, energy costs were reduced and yields increased, saving $600,000 a year. Meanwhile, at our Koog facility in the Netherlands, installing different types of milling plates helped to increase the amount of starch we can extract from our corn, generating $300,000 of savings a year. Productivity and cost discipline will remain key areas of focus in the combined business as we move forward. So pulling this all together. Food & Beverage Solutions increased EBITDA by 3% or an underlying growth of GBP 4 million. Sucralose saw an increase in EBITDA of GBP 6 million. And in Primary Products Europe, EBITDA improved by GBP 1 million, reducing losses to GBP 2 million. Overall, this led to an increase in adjusted EBITDA in constant currency of GBP 11 million or 6%. Foreign exchange negatively impacted EBITDA by GBP 3 million and took EBITDA for the half year to GBP 188 million. Moving to Slide 15, exceptional items, tax and the interim dividend, looking at exceptional items first. Net pretax exceptional charges were GBP 7 million, all of which related to restructuring costs to drive organizational improvements and productivity benefits. This translated into a total exceptional cash outflow of GBP 10 million. The adjusted effective tax rate for the year was 21.6%, which is in line with the comparative period. Looking ahead, we expect the adjusted effective tax rate for the year ending 31 March 2025 to be in line with the full year effective tax rate for the prior year of 21.1%. I am pleased to announce that the Board has declared an interim dividend of 6.4p per share, an increase of 0.2p per share. This reflects our approach of paying interim dividends equivalent to 1/3 of the prior year's full year dividend. The Board continues to operate a progressive dividend policy. Following the sale of our remaining share of Primient in June 2024, it is now treated as discontinued operations in our results. We received $350 million in cash for our remaining stake, representing an EV/EBITDA multiple of 6.5x, ahead of that achieved at the initial disposal in 2022. Our share of profit for the period prior to disposal was GBP 9 million. In addition, we recognized a post-tax profit on disposal of GBP 85 million. Moving now to free cash flow. Adjusted free cash flow was GBP 48 million higher at GBP 127 million, driven by GBP 41 million improvement in net working capital. Cash generation also benefited from the timing of tax payments, which are expected to be weighted into the second half. Cash conversion was strong at 94%, a 25 percentage points increase on the comparative period. Cash generation remains a priority. And while I expect cash conversion to be slightly lower for the full year, naturally our aim is to consistently exceed our target of 75%. Consistent with our focus on increasing return on capital employed, we continued to invest in attractive long-term growth projects with capital expenditure of GBP 50 million, up GBP 4 million. This includes projects to add capacity for our CLARIA clean-label starches and our PROMITOR fibers in Europe and to increase packing capacity at our specialty starch facility in Indiana. For the 2025 financial year, we still expect capital expenditure to be in the GBP 100 million to GBP 120 million range. Let us now turn to our cash and borrowings position. We ended September with a net cash position of GBP 39 million, an improvement of GBP 192 million. This was driven by 2 factors: first, strong cash generation; and second, the proceeds from the Primient disposal net of the amount returned to shareholders. Together, these amounted to GBP 184 million. You'll recall that we initiated a share buyback program in June. And at the current rate, we expect it will be complete by the end of the 2025 financial year. Before I come to the outlook, I'd like to share a few words on the market environment and what we currently expect to see in the second half. We're seeing a modest improvement in consumer sentiment, with this improvement at a slower rate than we expected at the start of the financial year. We continue to see a variation in conditions across our local markets, reflecting their different macroeconomic environments. The key for us is to stay agile to capture pockets of profitable growth, and that is what we are doing. We are seeing improving customer demand for innovation not only for new products but also product renovation and cost optimization projects. Looking into the second half, we expect volume growth to accelerate, the impact of input cost deflation on revenue to reduce, the phasing of orders in Sucralose to largely unwind and a continued delivery of productivity benefits. This leads us to confirm that our outlook for stand-alone Tate & Lyle for the year ending 31st of March 2025 is unchanged. We continue to expect to deliver in constant currency revenues slightly lower than the prior year and EBITDA growth of between 4% and 7%. This has been an encouraging first half for Tate & Lyle, especially given we are still operating in a cautious consumer environment. We saw positive volume momentum and delivered strong profit growth and cash flow. Food and beverage solution continues to strengthen its high specialty EBITDA margins, now at 24.9%. And we continue to invest to support our customers, grow our solutions business and drive productivity. The share buyback program is continuing. We remain committed to maintaining a robust balance sheet and have a clearly communicated capital allocation policy. And I reiterate the outlook for stand-alone Tate & Lyle for the full year is unchanged. As we look ahead to our new future, it's pleasing to see that CP Kelco performed as expected in the 6 months ended 30th of September 2024, with volume well ahead and revenue ahead of the comparative period. Volume and revenue both gained momentum as the period progressed. The performance of both Tate & Lyle and CP Kelco give me real confidence that we have a firm foundation on which to build our combined business in line with our growth-focused specialty strategy and crucially to deliver long-term value for our shareholders. And with that, let me hand you back to Nick.
Nick Hampton: Thank you, Sarah. And once again, welcome to the team. I'm now going to give you a brief update on our strategic progress and then talk about the CP Kelco combination. A few days ago, we announced a new partnership with Manus, a leading U.S.-based bio-alternatives platform, to expand our customer offerings for sugar reduction solutions. The first ingredient to be introduced through this new partnership is stevia Reb M, the highest-quality stevia available to the market today. Manus operates the only large-scale stevia bioconversion facility in the U.S. Its entire supply chain from stevia leaf to final product is within the Americas, providing enhanced supply security for customers. The partnership adds stevia Reb M growth capacity and further strengthens our leading sweetening platform. We are already seeing strong interest from customers. Looking ahead: The combination of Manus' sourcing and manufacturing capabilities with our sensory applications and go-to-market expertise also paves the way for the development of more innovative, new sweetening solutions in the future. As well as new partnerships, we are also investing in new technology to enhance our solution offerings to customers. Last month, we opened our new Automated Laboratory for Ingredient Experimentation, also known as ALFIE, at our Customer Collaboration and Innovation Centre in Singapore. This is the first time this technology has been used in the food industry. ALFIE represents a revolution in the delivery of mouthfeel solutions for customers, providing significantly faster and more accurate solutions design and accelerating speed to market. Representing a multimillion-pound investment in innovation and with its pioneering use of automated robotics, ALFIE provides enhanced predictive modeling capabilities and has the ability to run characterization tests at more than 10x the current rate. It also drives productivity through automation of routine tasks, which frees up our scientists to focus on what matters most: innovation for our customers. ALFIE's ability to analyze vast amounts of data at great pace enables us to rapidly create new mouthfeel solutions for customers and to further benefit from the leverage of AI in developing new customer solutions. The simultaneous addition of CP Kelco's leading product portfolio and the launch of ALFIE reinforces our position as our customers' partner of choice for mouthfeel solutions. Sustainability is both a core part of our customer offering and central to how we live our purpose. In the first half, we took a number of concrete steps to deliver on our climate ambitions and to progress our science-based targets to reduce greenhouse gas emissions in line with the 1.5-degree trajectory. We entered into 3 new agreements for renewable electricity and associated renewable energy credits, which together now cover 100% of the purchased electricity used by our manufacturing operations globally. On an annual basis, this will reduce our scope 1 and 2 emissions by more than 25% from a 2019 baseline. This is good for us; good for the environment; and importantly, good for our customers, who will benefit from the decarbonization of our business and the resulting lower-carbon footprint of our ingredients. Moving now to the exciting combination with CP Kelco. Since we announced the combination in June, the response from customers has been extremely positive. They can clearly see the opportunity of the combined portfolio to provide them with broader innovation and solutions capabilities. Their response reinforces our belief that the combination will significantly enhance our customer proposition and deliver attractive value for shareholders. Let me remind you then of the compelling strategic rationale for the combination. The combination with CP Kelco strengthens our position as a leading and differentiated specialty food and beverage solutions business. It creates a leadership position in mouthfeel, strengthens all our core platforms and categories, significantly enhances our customer solutions offering and helps accelerate R&D and innovation. Importantly, it is also expected to drive stronger financial performance over the next few years. All of this is underpinned by shared purpose, values and culture; and a common belief in progressing our joint commitment to science, solutions and society. The more time we have spent with the CP Kelco team during integration planning, the more evident our shared purpose, culture and belief in the combination have become. Let me talk briefly to each of these areas, starting with the CP Kelco portfolio. CP Kelco's leading plant-based portfolio makes it very well placed to benefit from growing consumer preference for healthier and cleaner-label products. Pectin is a key ingredient in many clean-label solutions, while CP Kelco's highly functional specialty gums are frequently used by customers to tackle gelling, thickening and stabilization challenges. Citrus fiber, one of its newer clean-label ingredients, is used to add nutrition to an increasing number of consumer products. Mouthfeel or how a food feels in the mouth is a critical unlock for customer solutions. By bringing together our highly complementary specialty corn and tapioca food starches with CP Kelco's pectin and specialty gums, we will create a leader in mouthfeel solutions. CP Kelco's portfolio and expertise will also provide additional functionality when sugar reduction and fortification solutions are required. The combination of our 2 portfolios and our deeper expertise across the intersection of sweetening, mouthfeel and fortification means we will be able to provide customers with a much broader range of solutions across our 4 categories; and help them meet growing global consumer demand for healthier, tastier and more sustainable food and drink. The combination will also significantly deepen our category capabilities with target customers. There is considerable category overlap, with the revenue of both businesses predominantly focused in the same 4 core categories of beverage; dairy; soups, sauces and dressings; and bakery and snacks. This highly complementary offering not only strengthens our existing category expertise but also opens up new growth opportunities across a number of subcategories and customers. In addition, both companies have world-class scientific knowledge and know-how. The combination of our expertise in bioconversion, fractionation and separation science; and CP Kelco's expertise in fermentation and extraction will open up new opportunities and help us develop the next generation of plant-based ingredients and solutions. Bringing this all together, let me give you one example of a solution we are developing that demonstrates the strength of our combined business for customers. Gummies are increasingly being fortified to deliver essential vitamins for children and adults. However, people desiring healthier and more sustainable diets can be put off eating gummies by the presence of ingredients such as sugar and gelatin. Bringing together CP Kelco's deep scientific knowledge in areas such as rheology, which looks at the texture and firmness of products; and our expertise in areas such as sweetening and sensory science, we've been able to produce a solution that is not only sugar and gelatin free but, when tested, was overwhelmingly preferred by consumers. This is the power of the combination, enhanced solutions for customers and healthier and better-tasting products for consumers. Looking now at the financial aspects of the combination. The combination will deliver stronger financial returns. Group revenue growth is expected to be towards the higher end of our existing 4% to 6% 5-year ambition. On EBITDA, we expect the combined business will drive significant adjusted EBITDA margin improvement. This will come from the delivery of targeted run rate cost synergies of $50 million, a phased recovery in the profitability of CP Kelco and margin-accretive solution selling. Since we announced the combination in June, a dedicated joint integration team has been working to prepare a detailed and comprehensive integration plan. This team, which is being led by Andrew Taylor, our President of Asia, Africa, Middle East and Latin America, is focused on 3 main priorities: firstly, our customers, ensuring we continue to serve them seamlessly and demonstrate the significant benefits of the combination for them. Secondly, our people; establishing the new organization; building a culture that is ambitious, agile and customer obsessed; and communicating clearly with our people about the integration process and their role in the new organization. And thirdly, performance, ensuring delivery of our targeted synergies and financial commitments. To ensure we continue to serve our customers and allow time for our people to move into their new roles, we will be transitioning into one business between completion and the 31st of March 2025. In that period, CP Kelco will operate as a separate business unit within Tate & Lyle. Then from the 1st of April 2025, we will operate as one business. The combined business will be called and branded Tate & Lyle. From the 1st of April 2025, we will also have a new reporting framework. We currently anticipate this will be on a regional basis, and more information will be provided in due course. On completion, a new executive committee will lead the combined business. This new leadership team, which draws upon the experience and skills of both Tate & Lyle and CP Kelco, will include new roles focused on delivering our key priorities. Andrew Taylor takes on the position of Chief Commercial and Transformation Officer, with responsibility for delivering the integration plan, including cost and revenue synergies. Didier Viala, the former Chief Executive of CP Kelco, becomes Chief Solutions Development Officer, charged with strengthening our solutions offering for customers. Jérôme Béra, also from CP Kelco, takes on responsibility for the newly formed Europe, Middle East and Africa region. And finally, Remington Zhu, previously our General Manager in China, joins the leadership team as President, Asia Pacific, to help drive further growth in this key region. As we said in June and now believe even more strongly, having spent the last 3 months planning the integration, the combination is a perfect fit and will accelerate our growth strategy. The combination of our specialty portfolios makes us a leader in mouthfeel solutions and significantly strengthens our platform and category offerings. We will be far stronger as one business, and together, we believe we can create significantly greater value for our customers and our shareholders. In summary. I'm delighted with the progress we are making and excited about our future potential. We delivered strong financial performance in the first half. Our customer obsession is driving growth in innovation and solutions, and we continue to invest in new partnerships and technology. With the CP Kelco transaction closing in the next few days, we are fully focused on driving the benefits of the combination for our customers, our employees and our shareholders. Over the last 2 years, we have taken a number of significant steps to reposition Tate & Lyle right at the center of the future of food, focused on creating solutions that meet growing consumer demand for healthier, tastier and more sustainable food and drink. With the CP Kelco combination, we believe this position has been further strengthened. Looking ahead: The combined business, with its leading positions across sweetening, mouthfeel and fortification; deep scientific and solutions expertise; and unrelenting focus on the customer, creates a strong platform from which to accelerate delivery of our growth-focused strategy and create long-term value for shareholders. It's been a very busy last 6 months. And I am so proud of all of our teams across the world, whose dedication and commitment have been instrumental in delivering both a strong set of financial results and a major strategic transformation. I am very grateful for all their hard work and for living our purpose with such passion and belief. For their support, I am truly grateful.